Operator: Good day, everyone, and welcome to the Moody's Corporation Second Quarter 2023 Earnings Conference Call. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. At the request of the Company, we will open the conference up for questions and answers following the presentation. I will now turn the call over to Shivani Kak, Head of Investor Relations. Please go ahead.
Shivani Kak: Thank you. Good afternoon and thank you for joining us today. I'm Shivani Kak, Head of Investor Relations. This morning, Moody's released its results for the second quarter of 2023 as well as our revised outlook for select metrics for full year 2023. The earnings press release and the presentation to accompany this teleconference are both available on our website at ir.moodys.com. During this call, we will also be presenting non-GAAP or adjusted figures. Please refer to the tables at the end of our earnings press release filed this morning for a reconciliation between all adjusted measures referenced during this call in U.S. GAAP. I call your attention to the Safe Harbor language, which can be found towards the end of our earnings release. Today's remarks may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. In accordance with the act, I also direct your attention to the Management's Discussion and Analysis section and the risk factors discussed in our annual report on Form 10-K for the year ended December 31, 2022, and in other SEC filings made by the Company, which are available on our website and on the SEC's website. These, together with the Safe Harbor statement, set forth important factors that could cause actual results to differ materially from those contained in any such forward-looking statements. I would also like to point out that members of the media may be on the call this morning in a listen-only mode. Rob Fauber, Moody's President and Chief Executive Officer, will provide an overview of our results, key business highlights and outlook; after which, he'll be joined by Mark Kaye, Moody's Chief Financial Officer, to answer your questions. I’ll now turn the call over to Rob.
Rob Fauber: Thanks, Shivani. Good afternoon, and thanks to everybody for joining today's call. As we typically do, I'm going to touch on a few key takeaways from our second quarter results and provide some insights into what's supporting our growth outlook. I also want to continue to highlight some of the exciting growth opportunities within the Decision Solutions line of business. And this quarter, I'm going to spotlight our insurance business. Then I'm going to talk about how we are positioning ourselves for what I tend to think of as a generational opportunity provided by generative AI. And as always, Mark and I will be happy to take your questions. We delivered strong performance across the firm this quarter. MIS achieved its first quarter of revenue growth in six quarters amidst a steady improvement in issuance. In fact, revenue growth – revenue grew 6%, outpacing a 3% increase in issuance. And the improvement in the issuance environment was led by a 54% increase in investment grade activity. And this, combined with the ongoing gradual recovery in high-yield bonds, has led us to raise MIS' revenue guidance for the full year to high single-digit growth, up from our prior guidance of low to mid-single-digit growth. And we continue to sustain 10% ARR growth in MA, selling into strong demand for our suite of mission-critical data analytics and workflow tools. And this quarter, we're introducing some additional top line disclosures for our banking, insurance and KYC businesses so that we can provide you with more insight into the robust performance of Decision Solutions. The stronger than expected revenue growth in MIS is driving the increase in our full year adjusted diluted EPS guidance of $9.75 to $10.25. And we continue to balance our expense control measures while furthering our investment in the business. We're capitalizing on our unique ability to integrate proprietary data sets and advanced capabilities from across our businesses into tailored cloud-based solutions. And we're innovating and investing extensively across the company to build further on this momentum with several key initiatives focused around generative AI technology turbocharged by our recent partnership with Microsoft. And over the past several months, as our businesses continue to scale, we spent considerable time talking with investors about how to think about the Moody's of today. And I want to share that with you because I think it's really useful context for understanding both our performance and our growth opportunity. And we've got several great crown jewel businesses, and anchoring those businesses, of course, is MIS, the global agency of choice for issuers and investors. But in MA, we have one of the world's premier subscription based fixed income and economics research businesses, a data business powered by what we believe is the world's largest database on companies and credit and three cloud-based SaaS businesses serving banking, insurance and KYC workflows. And at a high level, these businesses come together to help banks, insurers, corporates and public sector entities really do one of three things. First, to help them commence a relationship or an exposure so to issue, originate, select or underwrite. Second, during the life of that relationship, help them measure, monitor and manage risk. And third, on the back end, help them verify, account, comply, plan and report. And to do this, we leverage a tremendous set of proprietary data analytics and domain expertise across a range of areas: credit, companies, properties, securities, people, economies, ESG, climate and more. And we think of that as our risk operating system, and we thread that content through our solutions, and that's what makes our customer value proposition both sticky and differentiated. So with that backdrop, let me touch on MIS for the quarter. So the headwinds of the first quarter have largely dissipated, and that has led to more constructive market conditions and a surge in investment-grade issuance. In fact, May was one of the busiest months on record for investment-grade activity as both corporate and infrastructure issuers came to the market opportunistically. And I've said previously that investment-grade activity opens the door for issuance further down the rating scale, and that's exactly what we've seen with the ongoing recovery in high-yield bonds. And we saw the strongest issuance quarter since the beginning of 2022 in high yield, and that drove an almost 50% increase in our high yield revenue versus the prior year period. And so primarily based on the stronger than expected performance in both investment-grade and high yield, we're raising our issuance and revenue guidance for MIS for the full year. And so the backdrop to the market recovery, I would say, still remains fragile. And of our first-time mandates signed in the second quarter, only 25% or so have issued as some of those corporate treasurers and CFOs wait on the sidelines for more market certainty around the path of inflation and rates and the economy. And so muted M&A activity is also contributing to a limited supply of leveraged loans, and that has negatively impacted CLO creation since over 60% of these loans typically go on to be securitized. Within other structured finance asset classes such as CMBS and RMBS, higher all-in funding costs are restricting asset creation, and that's resulting in fewer deals and leading us to take down our structured finance issuance forecast for the year. And while we've had softer issuance markets over the past year, we've been strengthening our position in the markets of the future to reinforce MIS' position as the agency of choice. We have strategically invested in our emerging markets footprint for many years, and you've heard us talk about this at Investor Days and on earnings calls. And that's because although emerging markets account for something like 50% of global GDP, they represent less than 10% of cross-border issuance. So we recognize this opportunity for long-term growth. And our investment includes thought leadership, like our annual Emerging Markets Summit that we held in the second quarter, we attracted participants from over 90 countries to that conference. And in the second quarter, we also closed on our acquisition of acquisition of SCRiesgo, a domestic credit rating agency serving Central America, further strengthening our growing Moody's Local franchise all across Latin America. And as the digitization of financial markets accelerates, we're positioning MIS as a leader in assessing decentralized finance digital bonds and asset tokenization. We've rated a number of firsts in this space, and that includes just this month the European Investment Bank’s first-ever digital green bond. And of course, we continue to grow our sustainable finance franchise within MIS with good momentum in second party opinions. You may recall we relaunched our methodology in the fourth quarter of 2022. We have now completed over 92nd party opinions through the first half of this year, and that includes for marquee issuers like NL and the government of Mexico. And we have delivered 36% growth in SPO volumes versus the same prior year period. Now, moving to MA just a few minutes ago, I described decision solutions as primarily three cloud-based SaaS businesses serving banking, insurance, and KYC workflows. And as these businesses scale, we want to offer some additional insights into their performance. So from this quarter onwards, we're going to be providing revenue and AR metrics for each of them. And as you can see here, each of these businesses achieve double digit revenue growth in the second quarter, and together they delivered 10% ARR growth with KYC leading the way at nearly 20% ARR growth. So, last quarter we provided a spotlight on our banking business within decision solutions. And I thought this quarter that I would touch on our insurance business. We got some good feedback from that spotlight last quarter. And our insurance business brings together the legacy MA insurance business, which mainly serves life insurers with RMS, which caters primarily to the P&C market. And collectively our insurance business delivers workflow solutions for underwriting risk and capital management, and financial and regulatory reporting. And it generates in the neighborhood of $500 million of ARR. So, it makes it a very significant component of the broader MA portfolio. And like banks, insurers are undergoing a significant period of transformation as they work to digitize and automate manual and fragmented workflows in order to be both more effective and more efficient in underwriting, and risk management and capital planning. And this opens new opportunities for us to establish and expand our presence, offering new solutions and capabilities much in the same way that we have successfully done with banks. And at the heart of our insurance offerings are our AXIS and RMS risk engines. And AXIS provides the core actuarial and finance cash flow modeling that is widely used by life insurers, reinsurers, and consulting firms for functions that include pricing, reserving asset liability management, financial modeling, capital calculations, and hedging. And AXIS has proven to be a significant catalyst for growth. And this quarter was no exception. This quarter growth was fueled by increasing demand for our fully automated service, which enables insurers to send their actuarial modeling jobs to a cloud-based infrastructure for very efficient processing. And also contributing to growth in the second quarter is our RiskIntegrity offering, which seamlessly integrates with AXIS and provides a highly automated solution for calculating financial statement information in compliance with IFRS17 regulations. Now on the Property & Casualty side in May we held our most successful global insurance conference ever called Exceedance. I was there with about 500 of our customers from around the world. And we made several very important new product announcements. And I have to say I left the conference feeling very optimistic about the opportunities in front of us to serve the insurance industry. So first, our cloud-based, what we call Intelligent Risk Platform or IRP, that is industrial strength and it is differentiated in the market. We now have well north of a 100 customers on the Intelligent Risk Platform in the cloud. And this allows customers to run our new, more granular, what we call, high definition models by leveraging cloud computing power on demand. And that gives our customers a competitive advantage for those of our customers who are using this cloud solution. We also announced that we are partnering with NASDAQ enabling our customers to seamlessly access a wide array of CAP models available on the NASDAQ platform in addition to our customers’ own internal models. And this collaboration significantly enhances the value and capabilities of our IRP as a broader industry workflow platform. So, with this very compelling set of capabilities and solutions across insurance, now let me talk a little bit about the customer expansion opportunity. And we have over 900 insurance customers globally, and there is a significant opportunity for cross-selling and growing revenue per customer. We have very substantial relationships with our top 10 largest insurance customers who purchase on average about six to seven product families from across all of MA. Our next 90 largest insurers purchase on average about four to five product families. And our remaining 800 customers buy an average of just one to two products. So you can really see the extent of the cross sell opportunity. And let me give you an example of how we are growing our insurance relationships. So, five years ago one of the larger U.S. insurers was spending about $15 million annually with us across products spanning risk and capital management, finance and report reporting, workflow tools, and also some other products, including our MIS data feeds for risk management functions like risk adjusted capital calculations, and portfolio construction. After the acquisition of RMS, this customer relationship grew substantially to north of 25 million, and this insurer is now a significant customer of both AXIS and RMS. And given the breadth of business activities of a large insurer, and that includes lending and investing in addition to underwriting, they also subscribe to a number of our other solutions like our CreditLens loan origination solution, our CreditView research platform, and our structured finance and commercial real estate data and analytics, and even our KYC tools. And that has all together allowed us to expand the relationship to an ARR of over $30 million. And KYC offers another compelling cross sell opportunity with insurers as well as corporates. And in fact, in 2021 less than 10% of our insurance customers subscribed to a KYC product. Just two years later, we're up to about 20% and we are optimistic about further potential here. So our ability to deliver unique and innovative solutions is also being recognized across the industry. And of the awards that are listed on this slide, I have to say I'm particularly proud of our recent recognition as the overall winner of Chartis' inaugural Insurance 25 Award because it highlights our innovative market-leading solutions that span climate, cat risk modeling and economic and financial analysis. And speaking of innovation, as you hopefully heard during our recent gen AI briefing, artificial intelligence is fundamental to many of our products, and frankly, it has been for years. I want to touch on three of those. And I'd start with QUIQspread, which is an AI machine learning tool that we have developed in-house that digitizes and spreads financial data. And it's been integrated into a number of our products, including our CreditLens loan origination offering. And today, it's used by hundreds of customers, including banks around the world. Our AI review product is really at the heart of our KYC screening solutions. It's been trained on over 12 million actual KYC analyst decisions and it's currently used by over 500 customers. And so far this year, it's processed over 110 million names. And this all helps further train the artificial intelligence engine that powers these insights, and it reduces the likelihood of false positives by up to 80%. And that eliminates countless hours of manual work and reduces the time to screen for our customers from hours to literally just seconds. So a huge value prop for our customers. And finally, NewsEdge where we've been leveraging deep learning combined with natural language processing to enhance and optimize our data retrieval, enrichment and sentiment generation over our multi-domain data sets, employing state-of-the-art big data techniques. And to give you a sense of what this means in practical terms, our models are consuming, categorizing and scoring nearly 1 million new stories from over 20,000 sources each and every day. So these are just three of our over – I'd say over a dozen AI-enabled products, which bring a global team of engineers and product specialists with distinct and deep skill sets around natural language processing and artificial intelligence. And our historical foundational AI experience uniquely positions us, I think, to capitalize on the immense opportunities presented by generative AI. And gen AI is going to revolutionize how individuals and companies derive insights, how they participate in financial markets and how they navigate an increasingly complex world. And that's why we partnered with Microsoft. Combining Moody's vast proprietary data analytics and research with Microsoft's industry-leading gen AI technology and Azure OpenAI service, that's going to allow us to create new offerings that provide deeper, richer insights into risk than ever before. And by applying machine learning algorithms and deep neural networks to large collections of data and insights, individuals and organizations will be able to drive greater efficiency, accuracy, insight and innovation and financial processes. And earlier today, we published a – I'd call it, teaser demo of one of our first gen AI innovations, and we're calling it the Moody's Research Assistant. It's an interactive chat feature that looks across Moody's vast data sets and research to provide customers with multifaceted and integrated perspectives of risks that few others can provide. And the assistant will have the ability to access data and content across multiple domains, such as firmographic data, credit indicators, economic forecast, and risk and reputational profiles and deliver results to users based on their own personalized needs. So we're beginning to preview this innovation with customers to demonstrate the – really, I think, extraordinary value that it's going to bring, powered by Microsoft's technology and anchored by Moody's proprietary data. So be sure to check it out on our IR website. And importantly, I do want to acknowledge that Moody's gen AI is a journey of human enablement. And we have deployed this technology to all of our 14,000-plus employees. I call them our 14,000 innovators so that we can innovate at scale and pilot new ways to enrich our jobs with powerful new insights and improved productivity, all at our fingertips. And before I close, I'd like to give a big shout out to our employees. During the month of June, over 3,000 Moody's teammates and I was with them, took part in 150-plus volunteer projects across 32 countries. And their efforts delivered over 8,600 volunteer hours dedicated to making a difference in our communities. So our people are living our values and it's great stuff. That concludes my prepared remarks. Mark and I would be very happy to take your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Owen Lau with Oppenheimer. Please go ahead.
Owen Lau: Good afternoon and thank you for taking my question. So it looks like MA has more investments into product development such as AI, Rob talked about, but it dragged down the operating margin in the second quarter and also full year guidance. So I think it will be great if you can maybe give us an update on the seasonality of your P&L by segment and how we should think about that? Thanks.
Mark Kaye: Sure. Good afternoon. Thanks for the question. So last quarter, we anticipated that near-term capital markets and activity would be constrained before progressively improving in the second half. And while issuance was indeed lower in certain asset classes than expected, for example, structured, we did observe, and you heard this from Rob, higher-than-anticipated investment-grade volumes, given strong investor demand for our high-quality credits. So taking that into account and along with our expectation for relatively stable-ish market conditions for the remainder of the year, we are lifting our full year 2023 global MIS-rated issuance to the mid single-digit range and our MIS revenue growth to the high single-digit percent range. And this, together with our better-than-expected year-to-date MIS revenue result now implies MIS revenue growth in the range of low to mid-20s percent on average for the remainder of the year versus the relatively low year-to-date 2022 comparable period. That's really given the market disruption that we had in the prior year from geopolitical concerns and a deterioration of some macroeconomic conditions. This also means that we anticipate our MIS 2023 year-to-go revenue in absolute dollars to be comparable to the pre-pandemic levels we observed in the second half of 2019. And on the MA side, our reaffirmed guidance for the full year 2023 MA revenue to grow approximately 10% together with our mid-90% retention rates then implies the second half revenue will be in the low-double digit percent range and that’s going to reflect the strong ongoing demand for our subscription based products and solutions, really as customers continue to look to Moody’s to deliver the tools they need to incorporate risk resiliency evaluate exponential risk, et cetera in their workflows and processes. And that means that we forecast in the third quarter MA adjusted operating margin to step up to this compared to the second quarter, and then sequentially improve again in the fourth quarter very much in line with revenue and really as MA fully realizes the benefits of our restructuring program and additional cost saving initiatives. And then finally, our outlook for the full year 2023 total Moody’s operating expense growth remains within that mid-single digit percent range [indiscernible] at the higher end. And this balances our expectation for higher incentive and stock-based compensation costs with the improvement in our issuance outlook and the introduction of new initiatives to accelerate the development and deployment of some of our AI solutions. And if I was going to translate that, that full year 2023 operating expense guidance, and that really means along the lines of a low-single digit percent decline in MIS and the higher end of high-single digit percent growth in MA. And I apologize that that answer was for you, not for George.
Owen Lau: No problem. Thanks a lot. Very helpful, Mark.
Operator: Your next question comes from the line of George Tong with Goldman Sachs. Please go ahead.
George Tong: Hi, thanks. Good morning. So 2Q debt issuance and ratings revenue performance was strong and led you to raise your full year guidance for MIS. That said, debt issuance in July so far has been relatively weak. How much of a pull forward in debt issuance into 2Q do you believe happened? And does your guidance reflect simply a flow through of 2Q outperformance, or does it assume a stronger 3Q and 4Q than you previously expected?
Rob Fauber: Hey, George, it’s Rob. This is probably a question on the minds of many thinking about first half, second half and then triangulating to our full year guide. So we certainly saw stronger investment grade issuance in the first half that than we expected. And yes, we do think that was likely due in part to some pull forward in advance of the debt ceiling. And there’s just also some investor preference for really the higher end of the rating spectrum. The stress in the U.S. banking sector, I’d say probably dissipated a little bit faster than we had expected and kind of a return of market confidence. So as we’re kind of looking at the going into the second half of the year, when we look at leverage finance, and I’m talking about high yield and leverage loans, our general thinking is that the current run rate that we’re seeing for high yield and leveraged loans, I’d say the sequential run rate, if you will, that looks sustainable. And because we’ve got easier comps in the second half of the year, that implies some higher percent growth rates for leverage finance in particular. And also we expect will contribute to a positive revenue mix. And to put a maybe a little bit finer point on it, our issuance outlook implies a low-20s% increase in issuance for the second half of 2023. And that combined with what we saw in the first half, gets us to this mid-single digit for the year.
George Tong: Got it. Very helpful. Thank you.
Operator: Your next question comes from the line of Manav Patnaik with Barclays. Please go ahead.
Manav Patnaik: Thank you. If I can just ask you not around all these GenAI initiatives and stuff you’ve highlighted so far, like is that all incremental expenses or how are you thinking about in terms of spend and budget versus what I guess you’ve already doing before.
Mark Kaye: Manav, good afternoon. So we expect to realize meaningful productivity gains and efficiency as we progressively incorporate GenAI into our Moody’s ecosystem from technology and software development organizations to our customer support, shared service, even research teams. I think we would say it’s too early to provide estimates around the extent of these efficiencies that initial pilots are promising. So for example, the deployment of our coding assistant to some of our software development teams has shown material productivity benefits through both error reduction and coding time acceleration. Another clear benefit is the opportunity that the technology brings to our rating analysts where the use cases are vast. For example, you could think about using GenAI to transform in part our analytical workflow. For example, analysts can shift their focus towards forming more valuable opinions, augmenting their capabilities, for example, through foster data processing, advanced data interpretation, spreading, et cetera. And the point here is that in total, if we step back for a minute, you can think about GenAI as really just reinforcing and increasing our confidence in achieving our annual and our medium-term expense and margin targets.
Rob Fauber: And Manav, hey, it’s Rob. I’d also say, I think you were asking specifically also about just the extent of investment. Is it incremental? Is it significant investment? I would say that we’re able to leverage a lot of the investment that we already have. You think about we have most of our solutions are on the cloud. We’ve – it’s one reason I highlighted on the call. We’ve got a lot of expertise already across the firm around AI. I think one of the costs, and it’s too early for us to know what this looks like, we don’t yet know exactly the pricing structure of our products. But there’s going to be incremental compute cost and running these models is not cheap. So it’s still a little early for us because we’re just now Manav going into preview mode with customers, getting feedback from customers, thinking about then what the product pricing and packaging looks like, and then what the cost side will look like. So I think Manav, we’re going to have a much better sense for this in another quarter or so.
Manav Patnaik: Got it. Thank you.
Operator: Your next question comes from the line of Kevin McVeigh with Credit Suisse. Please go ahead.
Kevin McVeigh: Great. Thanks so much. Just to follow-up on the Generative AI a little bit, is there any way to think about kind of where you are in the process in MA versus MIS. And if there’s a way one thing that gives me a lot of optimism is the potential efficiencies from a delivery perspective given how regulated the industry is, keeps a lot of your footprint on shore. Is there any way to think about what the potential longer-term impact is from a margin perspective as maybe leverage the AI across both MA and MIS in terms of not necessarily next quarter, but how we should think about that a little bit longer-term if some of these efficiencies are brought to bear?
Rob Fauber: Yes, Kevin, hey, it’s Rob. And look, I would be remiss, if I don't talk about both sides of the equation here, because – and I promise you I will touch on the efficiency opportunity. But this really is, we think, a compelling opportunity for us in terms of how we deliver our content. And so we are very much approaching this in terms of opportunity first and what is the opportunity to deliver unique value to our customers. And as you heard me say to Manav, we're early days here, if you want to get a sense of what it looks like, I hope you get a chance to check out the video. There's a very easy way to understand how we're thinking about deploying this and what the opportunity will be. I would also say that we have approached this from a one Moody's perspective. And that is really, really important. Because this was an opportunity for us to set up a firm-wide infrastructure, a copilot across the firm, we obviously have to think about entitlements and controls and others things, risk management, all those things. But there's an opportunity to use one infrastructure across the firm. And as we have innovations across the firm, people able to deploy those innovations into our firm-wide ecosystem. Now, you mentioned MIS specifically, the MIS teams are very engaged around this and very engaged with our AI enablement team we put together. And looking at ways that they're going to be able to process more information, to get new insights, to be able to get through these things more quickly, and I really think about it, Kevin, as essentially turbo charging our people. And we have always heard from our issuers that we have the most experienced analysts and they really value that. And now I think about – all right, now we have the most experienced analysts, who are going to be armed with the capability of this copilot and everything that it brings and being able to work together on the team's collaboration platform will really turbo charging the capabilities of our analysts. I'm sure there will be productivity gains, but there will also be some real improvements to just the insights that we're able to deliver to our customers
Kevin McVeigh: Makes sense. Congratulations.
Operator: Your next question comes from the line of Alex Kramm with UBS. Please go ahead.
Alex Kramm: Yes. Hello, everyone. Can't believe I'm asking another GenAI question, but I will and it's on the revenue side. Because, Rob, you obviously highlight that you actually have been utilizing some of these tools, I guess, already in some of our products. I think you had three on the slide and you said something about dozens. I guess the question really is, can you already isolate some of the, I guess, AI enabled revenues that you're getting today? And it would always be great to have that number. But then more importantly, like, how long do you really think until this can really scale? And I guess, any ideas about the TAM, I mean, this is just – hey, we're going to make our products better and we’re going to be better in the marketplace and we're going to sell better? Or do you think there is going to be a real unique revenue opportunity here that really wasn't there before?
Rob Fauber: Alex, you know what, that first question is a great question. I have to be honest. I was thinking about that coming into the call and thinking, you know what? Somebody may ask that. I don't have that answer at my fingertips. But that's something I think that we can follow up on. It's a really good question. And it's a natural question given the fact that we're spotlighting those products. Let me talk for just a moment about how we're thinking about the monetization opportunity. And again, it's in early days, so just to give you a sense of where we are? We are just in the process of going into what I would call preview mode with a handful of our customers who then can give us feedback on the product. We're thinking then about, as I said, kind of the pricing and packaging. We're starting with what we're calling a research assistant that will serve our core customer – investor customer persona, right. So this is the investor that is using our CreditView offering. We will likely make the research assistant available and integrated into the CreditView platform, we may – so in that case, you can imagine it being an add-on to your CreditView subscription. We also have the ability to call the research assistant, right. And that would allow us to deploy it through, for instance, a platform like Microsoft Teams. And we – Alex, the exciting thing there is, that's going to allow us, I think, to reach a whole new customer base of people who aren’t using CreditView today may not have the frequent need to use CreditView, but want to get access to our insights and research. So we're thinking about how do we price that. You can then imagine that we go from that core investor persona to other core personas that we serve. So in banking, it's credit officers and commercial lenders. In insurance, it might be Chief Risk Officers and underwriting staff. And so we will be creating assistants that serve those personas. And so those will be both integrated, as I said, with CreditView, likely integrated into our existing offerings. And over time, we would also expect that people would look to have additional content sets entitled with their assistants. So you could imagine that our research assistant comes preloaded with certain content sets. And then over time, if you want to add, say, a climate or ESG content set, that may be an additional entitlement and additional revenue opportunity. So, again, Alex, these are great questions. We're working through these as fast as we can. And I think towards the end of this year, we'll probably have more insight into what this looks like, what the size of the opportunity will be. That will then be incorporated into our 2024 outlook.
Alex Kramm: Very helpful. Thank you.
Operator: Your next question comes from the line of Ashish Sabadra with RBC Capital Markets. Please go ahead.
Ashish Sabadra: Thanks for taking my question. I wanted to focus on the free cash flow, that guidance was raised by almost $200 million, which was much better than the EPS guidance range. I was wondering if you could talk about that. And also from a capital allocation perspective, you obviously raised the share repurchase guidance from $250 million to $500 million. But how should we think about the rest of the cash and the focus on any particular focus on M&A? Thanks.
Mark Kaye: Ashish, good afternoon. In the second quarter, our free cash flow result of $549 million was significantly higher, to your point, compared to the prior year period. And that's true primarily due to an improvement in working capital as the prior year included, and you'll recall this, a tax-related working capital headwind. And this quarter, of course, we also had stronger net income given the growth in MIS combined with solid execution in MA.  That means for the second quarter, our free cash flow to GAAP net income conversion was almost 150% compared to just 66% in the prior year. And I would say we’re forecasting that conversion rate really to moderate through the rest of the year as some of those first half working capital tailwinds normalize. We’re also very pleased to increase our share repurchase guidance to $500 million. And that means we’re going to return over $1 billion to our shareholders this year, $500 million through share repo and approximately $550 million through dividends. But the most important thing here is as a management team, we continue to be committed to anchoring our financial leverage around that BBB+ rating. And that’s really because we believe that provides the appropriate balance between lowering the cost of capital and providing for ongoing financial flexibility.
Ashish Sabadra: That’s very helpful.
Operator: Our next question comes from the line of Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Thank you. Wanted to ask about Slide 9. Thank you so much for the additional disclosures by customer type. I guess, maybe one, on the insurance part of the business. Are you seeing something in the more current, either pipeline or something that makes the ARR only 6%, whereas the revenue growth is coming in at 12%? Maybe it’s timing. And also if you could break down maybe a little bit of the KYC, obviously very strong growth there. Just trying to figure out how much is like from new customers versus upselling versus pricing. Any sort of granular drivers would be helpful. Thanks.
Rob Fauber: Yes. Toni, hey it’s Rob. You’re – the second part was on KYC, right?
Toni Kaplan: Yes.
Rob Fauber: So, as you know and this is why you’re asking the question, this has been a strong growth engine for us for some time now. And there’s a few things I think going on. We’re adding both new logos and we are adding – and upselling as well. And an interesting couple stats, the volume of what we call multi-product deals. So if you think about the components of our KYC solution, it’s really the company data that’s in Orbis. It’s the people data in what we call our GRID database. We’ve got our adverse media and AI screening, and then we wrap that in a workflow tool, right? So those are all the components. And you can buy the data separately from the workflow or you can buy the data integrated into the workflow. So where our cloud workflow platform is sold with other KYC products, that’s up 91%, so we’re seeing a lot of customers wanting to opt into the kind of full solution with workflow and data. The volume of what we call multi-product sales. So where I’m buying multiple components of this solution is up almost 50%. And where we have what we call – sales where we have something called company registration verification. So you want to go back down to the source documents themselves. It’s another important feature, actually a company we acquired several years ago. That’s – sales of that as part of our broader suite is up 53%. So, that idea of packaging the content with the workflow has really proved to be quite compelling. And, I guess, Toni, the other thing, just in terms of what’s driving overall demand in the space, you’ve got ongoing changes to regulation, perpetual KYC and you’ve also got a broadening of demand beyond just KYC into companies who want to understand more about who they’re doing business with in supply chain. So that’s – hopefully that gives you some insight into KYC. The answer is really both, new logos and upsells and this bundling of product. On insurance, so remember that this includes our insurance unit now, as I said on the call, both our legacy MA as well as RMS. And what we don’t reflect in that insurance ARR number is the cross-selling synergies that we’ve got with RMS, which are actually quite robust. And Mark you might even have a little bit of data on that.
Mark Kaye: Yes. I’d say collectively, Toni, you could think about Rob’s remarks is leading us towards that high single digit ARR for insurance by year end and certain for high teens or even low 20s for the KYC space.
Toni Kaplan: Thanks so much.
Operator: Your next question comes from the line of Andrew Nicholas with William Blair. Please go ahead.
Andrew Nicholas: Hi, good afternoon. From what we can gather, it seems like the issuers, particularly within the high yield market are opting for shorter maturities in this environment. And so my question is, is a two-parter. First, is this something that you’re seeing across debt categories of late? And second, how should we think about the impact of this on MIS revenue? I’m just curious if shorter maturities ultimately results in issuers coming back to market more frequently, which I would think drives stronger transactional revenue? Or if there’s some offsetting component within your fee structure that that would offset this? Thank you.
Mark Kaye: Andrew, I’ll start off with some numbers and then I’ll turn it over to Rob for additional commentary. I’ll do both investment grade and high yield just so we got a complete picture here. Between 2020 and I call it year to date 2023, the average duration of the MIS rated IG bond issuance peaked in 2020 at about 15 years, and then it steadily reduced to just under 12 years in June, which is about where it was in the pre-COVID 2018-2019 year, so not a big move on the investment grade side. On high yield, the comparable numbers for the average duration for what we’re rating was somewhere between 7.8 and about 8.3 years. And what we’ve seen, to your point is that it’s been reduced to around six years through the first half of 2023.
Rob Fauber: Yes. And in fact, I mean, Mark, you cited some of that data. We were getting the opposite questions a couple years ago as the tenors were stretching out and people worried about whether that was going to lead to less frequent issuance. So this is a happy issue to be contemplating. And to answer your question, I think it just means the issuers are coming to market more frequently. There’s nothing in our commercial constructs that I think would offset that. It’s unlikely. And most of these issuers, especially in high yield are infrequent issuers. So it’s unlikely that they’re going to be on a more of a relationship based construct. So I think net-net this is a modest positive.
Andrew Nicholas: Make sense. Thank you.
Operator: Your next question comes from the line of Craig Huber with Huber Research Partners. Please go ahead.
Craig Huber: Thank you. Can you just talk a little bit further about your debt issuance outlook for full year 2023, but break it down a little bit further by category high yield and bank loans, construction finance in particular? And also, can I just get the incentive comp number for the quarter on the new basis you guys are using what it was a year ago? Thank you.
Mark Kaye: Craig, good afternoon. I’ll start with the incentive comp. So in the second quarter, the incentive comp was $99 million and that compared to a $66 million in the prior year period. And that brings up our year-to-date incentive comp accrual to $188 million, which is approximately $45 million above the first half. For the full year, we’re expecting incentive comp to be between $370 million and $390 million, which is higher, about 25% higher than the comp we accrued for last year. And that’s really driven primarily by our improved outlook for full year 2023 MIS revenue.
Rob Fauber: Yes. And Craig, so just – I mean, I think you had a couple of pieces to this. One was kind of leveraged finance. And I would say that starting with high yield, would describe the environment as cautiously active in the first half of the year. And we did see some oil and gas issuers come back in the market. That’s important because they historically have been big issuers in high yield. The leveraged loan issuance was pretty soft. We had a pretty muted sponsor-driven M&A. We did see some refinancing activity and saw at least some supply coming from autos and telcos. When you look at our full year outlook, we’ve taken high-yield bonds up 15 percentage points to up 40% for the year, off of obviously what was a soft year last year. And we’ve made a modest adjustment to leveraged loans mid-single-digit, up from flat. In terms of kind of what we’re seeing in the market right now, Craig, it was July – it was a holiday shortened week to start in July. Things have picked up a little bit in the high-yield market. I would say the tone for both high-yield and leveraged loans is constructive. There’s good buyer risk appetite and demand. And then just touching on structured finance, just the volatility and the rising funding costs have led to a slowdown in overall market activity. And there’s a lot going on. I would say the weakest areas are CMBS, not surprisingly, given some of the concerns in the commercial real estate sector and CLOs, just given the lighter leveraged loan supply. So we kind of looked at that, what’s going on in the space and have decided to revise our outlook for structured finance down to – sorry, to down mid-teens percent for the year. So hopefully, that gives you a little bit of a flavor.
Craig Huber: Great, thank you.
Operator: Your next question comes from the line of Faiza Alwy with Deutsche Bank. Please go ahead.
Faiza Alwy: Yes. Hi. Thank you. So I wanted to follow up on that point that you just made, Rob, around structured finance. I’m curious if the competitive environment is a little bit different in structured finance? Are there areas where maybe you’re stronger in versus competition? And is that an area of investment focus for you at all?
Rob Fauber: Yes, that’s a great question. Structured finance has a number of agencies that are active in the market. It’s a more transactional market than the fundamental market, which is much more relationship-driven. So we do see a more active, broader competitive landscape in structured finance. I would say in spaces like AMBS – excuse me, AMBS – ABS, CMBS has a number of active players, CLO a bit fewer just because we rate the – tend to rate the underlying securities within a CLO. And so I would also note, just when you kind of are looking at what’s going on in terms of our structured finance results, if you think about CMBS is a sector where we’re quite strong. We have quite a good presence there. And there’s been a pretty sharp decline in issuance volumes, again due to concerns about the office and retail sector. So that decline may be felt more acutely by us, just given our kind of broader coverage of that space and of issuance than perhaps with some other agencies. The last thing I would say is broadly, our coverage has remained pretty consistent. It does tend to ebb and flow between asset classes a bit from time to time. But broadly, our coverage has remained pretty consistent over the last several years.
Faiza Alwy: Great. Thank you so much.
Operator: Your next question comes from the line of Seth Weber with Wells Fargo. Please go ahead.
Seth Weber: Hey, good afternoon everybody. Thanks for taking a question. I was wondering if you could just drill down a little bit more on the FIG revenue, 13% – up 13% versus issuance, up 5%. Just kind of give us some more details on what’s going on there. Thank you.
Rob Fauber: Yes. It’s – as we’ve broadened out the customer base for FIG over the years, and that’s included a number of, what I would say, are alternative investment managers and investment managers, we’ve gotten a little bit more volatility into the results than we have historically. And for those who’ve been on this call for a long time, you probably remember me saying how FIG is primarily relationship-based and it doesn’t move around – the revenue doesn’t move around much. As we broadened that base out, it has. And this quarter, in particular, we saw some opportunistic issuance from the insurance sector, folks who are not typically on these relationship-based constructs. And that gave us a little bit higher revenue take than we might otherwise get on issuance in the FIG space.
Seth Weber: Makes sense. Thank you. I appreciate it.
Operator: Your next question comes from the line, Heather Balsky with Bank of America. Please go ahead.
Heather Balsky: Hi, thanks for taking your taking my question. It’s great to see the improvement in MIS. I’m just curious, though, as you kind of look out and you think about the dynamics in the environment, where rates are, kind of where rates might go. What do you think is the biggest overhang right now? Do you think it’s the actual rate itself or do you think it’s the uncertainty? And do you think kind of incremental certainty kind of this quarter helped with what you saw with regards to issuance?
Rob Fauber: Hey, Heather welcome to the call. First of all. It’s good to have you on.
Heather Balsky: Thank you.
Rob Fauber: Yes, great question. So I have typically said that it’s uncertainty. That is the most challenging thing. And we’ve said in the past that the market can absorb higher rates when they are: one, accompanied by economic growth; and two, when they are anticipated by the market. So the market does not react well to surprises and it doesn’t react well to uncertainty and volatility. Volatility in the markets, both the equity markets and the fixed income markets and with spreads makes – creates really challenging issuance environment. So you’ve seen, as the market has at least gotten certain – more certainty around the trajectory of rate increases, you’ve seen issuance firm up. And I think again, there’s still a little bit of headline risk in the remainder of the year, but certainly, we’ve seen some of the firming in the market.
Mark Kaye: And Heather, if I just add some additional color to Rob’s comments there, few things we’re watching. We obviously feel that rates are likely approaching their peaks. We’re expecting the Fed to pause not pivot unless of course there’s a sudden increase in unemployment or a collapse in growth. The second thing we’re expecting is that the second half recession risks are likely to linger amidst tighter financial conditions. And so we’ve incorporated a dip, not a severe downturn into our outlook. And that really means that we are expecting the global default rate to rise above the long-term average, but not up to the levels of the pandemic or even remotely close to the great financial crisis. And then thirdly, we’re marching a couple of key questions on macro thematics which could include things like we are going to see more stimulus from the Chinese authorities because their post COVID reopening growth has been pretty lackluster and inflation there is low. And we’re also watching the U.S. dollar exchange rate. And then finally, we’re also watching the emerging market versus developing market to growth rates in the relatives at differential there.
Heather Balsky: Great. Really appreciate it. Thank you.
Operator: Your next question comes from the line at Andrew Steinerman with JPMorgan. Please go ahead.
Andrew Steinerman: Hi, Mark. Could you just tell us the FX effect on second quarter revenues, both from MIS, MA in total? And then if I can ask a second question. Looking at Slide 19, which is MIS slide, it seems like the first time mandate projection, which is now 500 to 600, came down from the projections given in April. And given the more positive view on issuance, I was just hoping you could comment on that dynamic?
Mark Kaye: Absolutely. FX is a pretty pedestrian story this quarter. So the second quarter, MA revenue was favorably impacted by 0.3%. The impact of foreign currency translation on MCO and MIS revenue is immaterial.
Andrew Steinerman: Okay.
Rob Fauber: Yes. Andrew, hi. On the first time mandates, so first time mandates were down pretty meaningfully from the same period last year. I’d say we’ve seen relatively muted first time mandate activity for probably the past four quarters or so. And when you look at I’d call it 2019 and maybe the first half of 2020, so kind of a pre pandemic period. This quarter’s first time mandates were something like two thirds of that average. But this isn’t really, to me, that’s not surprising. So despite the fact that yes, we’re taking up the issuance outlook. The majority of first time mandates tend to come from leveraged loans. And so as that has been softer, we have – we just haven’t seen the same activity around first time mandates. I will say though, it’s interesting, Andrew, we’ve seen a very meaningful uptick in our private engagement. So you may have heard us talk about in the past, we have a suite of products private monitor ratings, private ratings for investors. We have a rating assessment service. Those are up pretty meaningfully. And you heard me mention a number of these issuers have not come to market. So again, we’re seeing some kind of pent-up demand on people waiting for the right time to come to market.
Andrew Steinerman: Perfect. Okay. Thank you very much.
Rob Fauber: Yes.
Operator: Your next question comes from the line of Jeff Meuler with Baird. Please go ahead.
Jeff Meuler: Yes. Thank you. Hopefully not too much of a repeat of some prior questions. But as you think about the right pace of spend on AI and GenAI and the whole generational opportunity. I guess what’s the framework for how you think about if you’re going fast enough or not fast enough? And to what extent does it tie back to just the business performance? I guess, what I’m wondering is if there’s upside or outperformance in the core just to what extent we should expect that to be reinvested and for you to go even faster on AI for the next couple of quarters? Thank you.
Rob Fauber: Yes, Jeff, it’s Rob. I’m going to take this in two directions. First, directly to your question, which is that we’re going to – we are engaging, we are starting to engage right now with customers to understand the nature of customer demand with a prototype product or products. And then we are going to think about how much investment do we need to make, how much demand is there? What is the pricing and packaging look like, and how much investment do we need to make to support that? And I mentioned, I think a good bit of that investment actually will end up just being compute. But let me take it back. One, kind of pull the lens back for just a moment because I think there’s a broader question here around, overall MA investment and GenAI is a part of that, is not the only part. And I hope you all; get a very good sense from us that there are some very strong demand drivers for risk assessment. And that also that we believe we’re very well positioned to monetize that demand. And I think you see that translate to the very strong top line growth rates that we have relative to our peer group. And in thinking about what is best for the long term of the business, as long as we see strong market demand and we have a leading set of – market leading set of solutions. We’re going to favor investment to drive top line growth. And there are really three areas that I want to call out for you. One is product development. Increasingly this means the integration of our content into workflow solutions. Like you’ve heard us talk about, commercial real estate into our loan origination offering, ESG into our underwriting offering, Orbis data into our KYC offering. It also includes, Jeff, these investments that we’re making in GenAI enabled products, which we would expect to start delivering revenue growth in 2024 and beyond. But this point about investing in an ongoing product pipeline is very important because it’s critical to how we get both new customer acquisition and also upsell with customers. That’s one. The second is sales deployment. And we have made some big investments in our sales organization over the last couple of years that includes relationship managers that are now organized by customer segment. And that’s helping us with new logos and drive ARR growth. It also includes building out our functions like what we call our industry practice leads, who can help us with more solutions based selling and building out our customer success team who helps with retention and upsell; so that's – that's the second area of investment. And the third is we are platforming MA and we have appointed a chief architect with 20-plus years of experience at Microsoft who is developing an overall technology architectural blueprint and is who – he is building out our platform engineering layer. And if you join us on our call on September 14th, I think you'll have an opportunity to meet with him in the future. But this positions us better for GenAI enablement and commercialization. It enables faster speed to market and a better experience for our customers who use multiple products, and it also gives us better insight into customer behavior. And again that is really important to cross-selling and up-selling. So the GenAI investments are one part of a broader set of investments that we're making to really drive and accelerate top line growth at MA and capture the opportunity that's in front of us.
Jeff Meuler: Very helpful. Thanks, Rob.
Operator: Your next question comes from the line of Russell Quelch with Redburn. Please go ahead.
Russell Quelch: Yes. Thanks for having me on. So first question is on MIS, please. I was wondering if the revenues grow back to the levels we saw in 2021 by 2024 or 2025 as projected by consensus, is there any reason why the adjusted operating margin for the business wouldn't move back up to the same level seen in that period two, please?
Mark Kaye: Russell. Good afternoon and thanks for the question. I think maybe implicit in what you're asking is why is the MIS margin not higher than the 55% to 56% that we're guiding to, at least for this year? And the short answer here is the margin outlook includes the higher incentive compensation accruals, which are obviously or naturally going to flex depending on the performance compared to the targets we set at the beginning of the year as well as any incremental investments that we put through for in-flight initiatives including the adoption of AI that we've spoken about this morning. If I think about it more broadly though, the margin guide of 55% to 56% does imply around 370 basis points of uplift compared to our 2022 margin of 51.8%. And if I think about that that could be attributed to around 350 bps associated with increased operating leverage and that's primarily tied to that first half issuance, and that's the part that in theory could carry forward well beyond 2023. Secondly, I'd say is approximately 400 bps related to some of the expense benefits from some of the actions we've taken to lower and control costs. For example, those associated with our restructuring program that we spoke about in prior quarters or additional efficiency initiatives. And then those two are offset by around 380 bps from the incremental organic investments that we're putting through. And some of that relates to Generative AI, and some of that relates to really ensuring that we maintain that best-in-class MIS ratings quality, as well as supporting appropriate hiring merit and promotion increases for our teams.
Russell Quelch: Got you. Okay, that's comprehensive. Thanks Mark. And just as a quick follow up, in terms of research and insights obviously saw a strong step up in growth in recurring revenues there. Can I ask what drove that? How much of that was pricing? Is that new sales? Is that cross sell and upsell? Just any detail you could give to that would be appreciated? Thanks.
Rob Fauber: Yes. Sure, hey Russell. So first of all we continue to see very good retention and strong demand. And interestingly, when we had that period of particular stress in the U.S. banking sector, we saw utilization of our solutions really spike up. And I'd say there are probably three areas that I would point to that are driving growth. One is that point around increased utilization and interestingly we have a suite of predictive analytics, economic forecasts and other kinds of models. There has been an uptick in demand for that. So that's – that's one. And that increased utilization, it supports the retention rates, it supports new sales and it also supports upgrades and price increases. Second, we've made some – we continue to make ongoing enhancements to CreditView. CreditView is our – is our web-based research platform that includes something called ESG View. So we now have another view that we are able to either sell on an a la carte basis or to price behind. So we're including more and more content on credit view that we can use for pricing. ESG is one, example the orders content around corporate structure data is another example. And third, we just – we've seen some very good growth again for the – the suite of analytics in the research area.
Russell Quelch: Great. So thanks Rob. And also really, really welcoming this switch to adding in incremental color on products and strategy on these conference calls rather than just sort of reading back the results to us. So yeah kudos for that and thanks very much.
Rob Fauber: Hey, thanks. I appreciate that feedback. We find that the most valuable way we can spend our time with you.
Operator: Your next question comes from the line of Jeff Silber with BMO Capital Markets. Please go ahead.
Jeff Silber: Thanks so much. I know it's late. I apologize. I've got a two part question on margins. First on MA, in order to hit your margin goal you're expecting some pretty sizable expansion in the second half. Are there any timing issues were there expenses that you incurred in the first half or maybe some efficiencies that you're incurring in the second half if you can comment on that? And then on MIS margins based on the mixed issuance in terms of your new guidance, is there any impact on margins? Is there a difference if you have an IG debt versus structured finance, et cetera?
Mark Kaye: Yes. Good afternoon. Let me take the MA margin from the perspective of a year-to-date and year-to-go onset because I think this will tie in with what you're looking for. So the year-to-date MA adjusted operating margin was 28.4%, and that was about 280 bps lower than the prior year period. And there are two primary themes underlying this decrease. And they should be consistent with what we spoke about in the April earnings call. So first we opportunistically accelerated investment in product, technology, innovation and sales deployment. And that includes the reallocation of expense dollars into our generative AI initiatives. And that really is done with the purpose of allowing us to maximize our ability to meet ongoing customer demand for our solutions. And the second piece is really an element of seasonality, and that relates to both the MA revenue and expenses. And we really try to balance our spending against a full year margin target, which for 2023 is still expanding albeit slightly. So if you take that into account, what we are thinking of for the second half of the year is really for margins to expand by on average 250 to 350 basis points versus the comparable 2022 year ago period. And then that means we're going to incrementally step up in the third quarter, and then we'll have a pretty material step up again in the fourth quarter.
Rob Fauber: Yes. And then, maybe just some quick rules of thumb in terms of how to think about the relative margin or, kind of economic profile of some of the issuance. I would say that if you're in the corporate sector the leverage finance, we tend to get the, a more revenue take on leverage finance than investment grade, because investment grade issuers tend to be on more frequent issuer programs. That's typically the same with FIG. You heard what I said about the, the infrequent insurance issuance. And then in structured the more complex transactions like CMBS and CLOs typically have more favorable economics. But then if I, I'll take a one a different view on it, which is, if you look at new issuers versus existing issuers, so in terms of the work required there's more work that's required for a first-time issuer. So first-time issuers, first-time mandates are great because they build the stock of monitored ratings but they do take more work. Rating in existing issuers, typically more margin-friendly. So when you see a lot of refinancing activity, that may be a little bit more margin-friendly than a lot of first-time issuance.
Jeff Silber: All right. That's very helpful. Thanks so much.
Operator: Your next question comes from the line of Simon Clinch with Atlantic Equities. Please go ahead. 
Simon Clinch: Hi guys. Thanks for squeezing me in here. Rob, I wanted to ask a question about the competitive environments in MA actually. And just I'm conscious of your partnership with NASDAQ and some of the consolidation that's going on there and the number of different competitors that are sort of vying for new different niches of that kind of market that MA is playing in the various markets. I was wondering if you could talk about what you're seeing from a competitive standpoint. Who are you displacing? How fragmented the market is? And how you think that's going to really develop over the next, in your five years or so?
Rob Fauber: Sorry, I might have been on mute. I think the way that we talk about and disclose our businesses is a good way to think about the competitive landscape because in each of those businesses, there are some different players. So for instance, in our research business, we typically will compete against other rating agencies and a handful of kind of more boutique research providers. In the data space, we tend to compete against players like Dun & Bradstreet and others who have big corporate data sets. And then in our Decision Solutions, there are different competitors. So we have different competitors in the banking versus insurance versus KYC space. I will say this though. And while I think we compete with all of them, there is, I think, an element of secret sauce to the way that we compete. And I think it's two things. One is an increasingly interoperable suite of cloud-based solutions. So think about with a bank. You can buy our ALM solution. You can buy our loan origination solution. You can buy our regulatory reporting solution. And guess what? They all run on a connected data set. And since they're cloud-based, they're easy to implement. So that really makes it easier for us to kind of land and expand in these institutions. And the second thing is when I talk about – I mentioned it in my remarks, this idea of this risk operating system, right? It's all of these data sets and analytics and insights that we have that go way beyond credit now, right? It's credit, it's companies, it's people, it's ESG, it's climate, it's commercial properties and on and on. And the reason that is so important is our customers say to us all the time, Hey, I need to be able to integrate. I need to be able to bring in property data, economic forecasts, credit data, ESG scores, physical risk scores relating to climate. And if a customer has to do that themselves, it's very, very challenging, right? A collection of point solutions and disparate data and analytics providers. So this idea that we can provide a multifaceted view of risk and integrate that and deliver that into our solutions is a very powerful selling proposition with our customers. It allows us – increasingly is allowing us to displace certain customers, and it's also creating a wonderful pathway for us to grow existing revenue per customer. So that's why I try to draw that out in our remarks because it's a very important differentiator, we believe. And an important reason, by the way. I know sometimes people discount these awards but it is the reason that we're ranked number one in the Chartis RiskTech Award. They think that is a winning strategy.
Simon Clinch: That's great color. Thank you. 
Operator: This concludes Moody's Second Quarter 2023 Earnings Call. As a reminder, immediately following this call, the company will post the MIS revenue breakdown and MA LOB historical revenue under the Investor Resources section of the Moody's IR homepage. Additionally, a replay will be made available immediately after the call on the Moody's IR website. Thank you. You may now disconnect.